Executives: Matthew Stroud - Vice President of Investor Relations C. Bradford Richmond - Chief Financial Officer, Principal Accounting Officer and Senior Vice President Andrew H. Madsen - President, Chief Operating Officer and Director Clarence Otis - Executive Chairman, Chief Executive Officer and Chairman of Executive Committee Eugene I. Lee - President of Specialty Restaurant Group
Analysts: David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division Brian J. Bittner - Oppenheimer & Co. Inc., Research Division Michael Kelter - Goldman Sachs Group Inc., Research Division Keith Siegner - Crédit Suisse AG, Research Division Joseph T. Buckley - BofA Merrill Lynch, Research Division John S. Glass - Morgan Stanley, Research Division Jeffrey Andrew Bernstein - Barclays Capital, Research Division Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division Jason West - Deutsche Bank AG, Research Division Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division Will Slabaugh - Stephens Inc., Research Division Nicole Miller Regan - Piper Jaffray Companies, Research Division Sara H. Senatore - Sanford C. Bernstein & Co., LLC., Research Division Amod Gautam - JP Morgan Chase & Co, Research Division
Operator: Welcome, and thank you for standing by. [Operator Instructions] Today's call is being recorded. If anyone objects, you may disconnect. I'd like to turn the conference over to Matthew Stroud. Sir, you may begin.
Matthew Stroud: Thank you, Catherine. Good morning, everyone. With me today are Clarence Otis, Darden's Chairman and CEO; Drew Madsen, Darden's President and COO; Brad Richmond, Darden's CFO; and Gene Lee, President of Darden's Specialty Restaurant Group. We welcome those of you joining us by telephone or the Internet. During the course of this conference call, Darden Restaurants' officers and employees may make forward-looking statements concerning the company's expectations, goals or objectives. Forward-looking statements are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any forward-looking statements speak only as of the date on which such statements are made, and we undertake no obligation to update such statements to reflect events or circumstances arising after such date. We wish to caution investors not to place undue reliance on any such forward-looking statements. By their nature, forward-looking statements involve risks and uncertainties that could cause actual results to materially differ from those anticipated in the statements. The most significant of these uncertainties are described in Darden's Form 10-K, Form 10-Q and Form 8-K reports, including all amendments to those reports. These risks and uncertainties include food safety and food-borne illness concerns; litigation; unfavorable publicity; risks relating to public policy changes and federal, state and local regulation of our business, including health care reform, labor and insurance costs; technology failures; failure to execute a business continuity plan following a disaster; health concerns, including virus outbreaks; intense competition; failure to drive sales growth; failure to successfully integrate the Yard House business and the additional indebtedness incurred to finance the Yard House acquisition; our plans to expand our newer brands like Bahama Breeze and Seasons 52 and Eddie V's; a lack of suitable new restaurant locations; higher-than-anticipated costs to open, close or remodel restaurants; a failure to execute innovative marketing tactics and increased advertising and marketing costs; a failure to develop and recruit effective leaders; a failure to address cost pressures; shortages or interruptions in the delivery of food and other products; adverse weather conditions and natural disasters; volatility in the market value of derivatives; economic factors specific to the restaurant industry and general macroeconomic factors, including unemployment and interest rates; disruptions in the financial markets; risk of doing business with franchisees and vendors in foreign markets; failure to protect our service marks or other intellectual property; a possible impairment in the carrying value of our goodwill or other intangible assets; a failure of our internal controls over financial reporting or changes in accounting standards; and other factors and uncertainties discussed from time to time in reports filed by Darden with the Securities and Exchange Commission. A copy of our press release announcing our earnings, the Form 8-K used to furnish the release to the Securities and Exchange Commission and any other financial and statistical information about the period covered in the conference call, including any information required by Regulation G, is available under the heading Investor Relations on our website at darden.com. We plan to release fiscal 2013 fourth quarter earnings and same-restaurant sales for fiscal March, April and May 2013 on Friday, June 21, 2013, before the market opens with a conference call shortly after. We released third quarter earnings results this morning. These results were available on PR Newswire and other wire services. We recognize that most of you have reviewed our third quarter earnings results, so we won't take the time to go through them in detail, once again in an effort to provide more time for your questions. We will offer a line item summary of the P&L, discuss our financial outlook for fiscal 2013 and discuss some of our brand-by-brand operating performance. To begin, Brad will provide detail about our financial results for the third quarter. Drew will briefly discuss our larger brands, and Clarence will offer some closing comments. We will then respond to your questions. With that, let me turn it over to Brad.
C. Bradford Richmond: Thank you, Matthew, and good morning to everyone. Darden's total sales from continuing operations increased 4.6% in the third quarter to $2.26 billion. Included in this quarterly amount is approximately $87 million in sales from Yard House, which we acquired on August 29, 2012. On a blended same-restaurant sales basis, the results for Red Lobster, Olive Garden and LongHorn Steakhouse declined 4.6% in the third quarter. In contrast, our Specialty Restaurant Group saw continued same-restaurant sales gains of 2.3% on a blended basis. Food and beverage expense for the third quarter were approximately 20 basis points higher than last year on a percentage of sales basis. This unfavorability was driven by our promotional mix and higher costs for beef, partially offset by lower seafood costs. For the third quarter, restaurant labor expenses were approximately 100 basis points higher than last year on a percentage of sales basis due to higher group insurance, wage inflation and sales deleverage, partially offset by reduced manager incentive compensation of approximately 60 basis points. Restaurant expenses in the quarter were approximately 110 basis points higher than last year on a percentage of sales basis, mostly due to sales deleverage, about 50 basis points, and the impact of adding Yard House, about 30 basis points, which runs a higher restaurant expense as a percentage of sales than our other brands because all of the Yard House restaurants are leased. Selling, general and administrative expenses were approximately 30 basis points lower than last year as a percentage of sales due primarily to reduced incentive compensation of approximately 100 basis points, partially offset by media inflation. Depreciation expense in the quarter was approximately 40 basis points higher on a percentage of sales basis compared to last year because of increases in new units and remodel programs at our larger brands. Overall, operating profit margins for the third quarter were down approximately 230 basis points to 9.1%. Yard House accounted for 40 basis points of the year-over-year decline because of acquisition-related costs and a slightly lower margin at the operating profit level. Our tax rate this quarter, at 22.3%, was approximately 240 basis points lower than the prior year, driven by increases in available tax credits and our tax planning initiatives, as well as lower taxable earnings. We estimate that our annual effective rate will be in the mid-22% range, which is about 200 to 300 basis points lower than last year's effective tax rate. Now turning to our financial outlook. For the full fiscal year, we expect combined same-restaurant sales for Red Lobster, Olive Garden and LongHorn Steakhouse of approximately down 1.5% to 2.5%, and we expect net new restaurant increase of roughly 105 restaurants, which is approximately 5% unit growth on our current base. With these same-restaurant sales and net new restaurant openings expectations, combined with the acquisition of Yard House, we expect total sales growth in fiscal 2013 of between 6% and 7%, and that diluted net earnings per share growth from continuing operations for the year will be between $3.06 and $3.22. The expectation regarding diluted earnings per share includes acquisition-related costs and purchase accounting adjustments of approximately $0.09. Turning to our commodities basket. We have approximately 90% of our total food spend contracted through the end of this fiscal year. Food inflation in the third quarter was approximately 0.4% with seafood deflation in the mid-single digits and beef inflation in the low double digits. For the fourth quarter, we expect that our commodities basket will see inflation in the range of 1% to 1.5%. Category-by-category, through the balance of fiscal 2013, seafood costs are lower on a year-over-year basis with 100% of our usage covered. Beef costs are higher on a year-over-year basis with 80% of our usage covered. Poultry costs are moderately higher on a year-over-year basis with 100% of our usage covered. Wheat costs are slightly higher on a year-over-year basis with 100% of our usage covered. And dairy costs are moderately higher on a year-over-year basis with 60% of our usage covered. Our energy costs are expected to be slightly lower on a year-over-year basis, and we have contracted 30% of our natural gas and electricity in the deregulated markets in which we operate through fiscal year 2013. And now I'll turn it over to Drew to comment on our brands.
Andrew H. Madsen: Thank you, Brad. Since many of you attended or listened to our recent Analyst and Investor Meeting a few weeks ago, I thought our time this morning would be better spent only briefly commenting on the third quarter performance of our larger brands. As we mentioned at that meeting, same-restaurant sales results for the third quarter at the larger brands were much weaker than we anticipated. Our priority now is regaining same-restaurant traffic momentum. This quarter, same-restaurant traffic at our 3 large brands was negative and certainly some of the external factors we're all aware of including the payroll tax increase, the spike in gasoline prices and more severe winter weather this year contributed to that. Still, we are encouraged that after trailing the industry the prior 3 quarters, same-restaurant traffic at our larger brands was in line with the industry this quarter. And we are also encouraged that same-restaurant sales for the industry have improved so far in March as we assumed in the same-restaurant sales guidance that we provided at our analyst conference. Another thing we also discussed in February is that for many guests, affordability is a particularly important need. These guests want to visit casual dining restaurants generally and our restaurants in particular more often than they do today, but they feel they cannot afford it. It's important to keep in mind, however, that not all guests are focused solely on greater affordability. There are also economically secure guests who are looking for distinctive higher-quality dishes and are willing to pay a little more for them. And while millennials are focused on affordability, they have other needs and desires as well, including an interest in more convenience in their total restaurant experience, menus that offer more freshness and greater flexibility to dine the way they want. We are responding tactically in ways that address on a day-to-day and a week-to-week basis the current need many guests have for affordability. At the same time, we are working strategically to evolve our brands so that they are sustainably affordable for financially constrained guests, and so that they meet the broader needs of all other guests. Our traffic results for the quarter relative to the industry indicate we're making some progress tactically. And while some of the strategic changes to redefine the guest experiences we offer are in their early stages, we're confident in our direction on this front as well. Now Clarence has some final comments.
Clarence Otis: Thanks, Drew. As we mentioned last month at our Analyst Investor Meeting here in Orlando, we are, for sure, in a new era for dining out that's the product of some important new competitive and consumer realities. And as Drew mentioned, we're making significant changes to make sure we take advantage of these realities. We're changing so that we're better able to more consistently win in the marketplace today and better able to win on the sustained basis well into the future. The changes we're making involve reshaping our portfolio to increase the size and contribution of Specialty Restaurant Group, which is something that broadens our guest and occasion base. They involve reshaping our organization so that there are dedicated resources working on 2 time horizons, today and tomorrow, which are time horizons that involve distinctive work. The changes we're making also involve tempering average check growth across our larger brands because we think that's what it takes to support same-restaurant traffic growth. They involve reducing unit growth at Olive Garden so the brand can better focus on regaining momentum. And the changes involve continuing to invest in our people who are the best in the business and who are the key to any success that we're going to have in any time horizon. We think we're well positioned as an organization given the strength of our brands, the collective experience and expertise we have, the operating cash flows we have to make the changes that are needed. And so we're confident as we look forward in the direction of our business. And with that, we will take your questions.
Operator: [Operator Instructions] Our first question comes from David Tarantino with Robert W. Baird.
David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division: My question is related to the trends you're seeing in March. Drew, I think you mentioned that the industry trends have started to improve in March, and I'm just wondering if you could maybe talk about your business and maybe give a sense of the magnitude of the improvement that you've seen, and whether you're currently running in line with your plan for the current quarter.
Clarence Otis: David, this is Clarence, and we will talk about the industry, but not about our business, which is our practice. And what we would say -- and I think Malcolm Knapp was on Bloomberg yesterday, so this is comments that he made. And he's, for a lot of reasons, has a very good look at what's going on in the industry. And the turn in March has been significant. I mean, February was a month that was down mid-single digits in the casual dining part of the industry and March is a positive month, and so a pretty significant turn. We think February suffered beyond weather from really, as Drew mentioned, the consumers just weren't prepared despite all the conversation for the payroll tax increase, and there was a pretty rapid spike up in gasoline prices. But March indicates that consumers have adjusted. When we talk about our expectations for the year from a same-restaurant perspective, from an earnings perspective, we assume that the industry would bounce back.
David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division: Great, that's helpful. And I guess just maybe a quick follow-up on that. As you look at the overall consumer environment, it has been choppy lately. And I guess, how are you viewing the March trend? Is this consistent with what your economic models and your thoughts on the overall consumer environment should be going forward, or how should...
Clarence Otis: Yes. I think we look beyond the month. And so as we look back over the last 12 months, our point of view is the next 12 is not going to be all that different. And so if GDP growth is roughly 2%, a little bit less than that, it's going to be roughly 2% going forward is how we think about it, maybe slightly more than that. But there's probably equal probabilities on slightly more, slightly less. And so that's sort of how we're planning the business around that point of view.
Operator: Our next question comes from Jeff Omohundro with Davenport & Company.
Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division: First, on the Olive Garden and relative value, it does appear that in the category we're seeing quite a bit of abundance offers, abundance strategies and a lot of clutter out there. I'm just wondering in terms of your comfort with the -- or need to tweak the current strategy really to break through that and connect more on abundance with guests, just what your thinking might be around that. And then I have a follow-up on Red Lobster.
Andrew H. Madsen: So certainly as we've said, we need to address affordability more aggressively than we have been doing. We've started that and we are seeing an improvement in traffic in all 3 of our large brands, including Olive Garden. In terms of abundance, we want to make sure that while we are addressing affordability, we're also evolving the guest experiences that each brand offers in ways that keeps them distinct and relevant and highly compelling. So generosity has always been an important part of Olive Garden's promise, which is what's helped them be one of the strongest overall value leaders in the industry. So we're confident that, that's going to continue to be a part of the experience that we offer. But we're going to have to go beyond that because it's clear now that there are other meaningful guest segments that want aspects to their experience that we are not now providing, so lighter, fresher is one example. That's why we introduced that section on the menu recently. Convenience and speed of service at lunch, in particular, is another one that we're working on. So generosity and abundance will be part of it, but we want to keep very distinct compelling brands going forward and that's true for Olive Garden as well.
Jeffrey F. Omohundro - Davenport & Company, LLC, Research Division: And then on Red Lobster, I'm just wondering regarding the Seaside Express test, just how that fits in perhaps with the longer-term concept evolution.
Andrew H. Madsen: Well, that's a test that we have just started in the last week at a couple locations locally. So it's too soon to comment on the -- what we're seeing there. But we would say that the lunch daypart, in particular, is one where we know that for a large number of guests affordability and speed, convenience is very important. And lunch is a big growth opportunity for Red Lobster, in particular, and that's really why they're looking at this sort of test to just more aggressively address the need for affordability and convenience and overall speed and experience. But very, very early at this stage.
Clarence Otis: The other thing I would say, Jeff, is so we've got delivering 2 experiences in 2 different dining rooms. So conventional, full service lunch experience in one, the express lunch in another. We will very closely watch the guest experience in the more conventional dining room to see how guests in that dining room feel about the whole experience with what's going on elsewhere in the building and that'll be an important part of whether this thing is successful or not.
Operator: Our next question from Brian Bittner with Oppenheimer.
Brian J. Bittner - Oppenheimer & Co. Inc., Research Division: Just want to go back to this tempering of the average check growth and the strategy there. Is it something that is going to be gradual over time, or is it there going to be a step change in the menu that we're going to see? And just going forward in general, I mean, how big of a handle as you implement this change are you really going to have on the ability to kind of tweak the average check growth, and why not just allow check growth to possibly decline because it feels though if you did that and you got the traffic, that would probably be applauded.
Clarence Otis: Well, I think a couple of things. One is it is tempering check growth as opposed to check decline and will be gradual, and they'll be driven by couple things. And so one is our promotional mix and that's gradual almost by definition because the preference on promotions ranges from 5% to something more like high single digit, which is typical. A blockbuster promotion would be 15% to 20% and so that's, by definition, going to be gradual effect. And then the second part of it really is making sure that we introduce platforms on the core menu that have more approachable pricing and those platforms are going to get some preference, but there's still going to be a fair amount of preference elsewhere on the core menu. And the reason why we wouldn't drop check average is because that sort of preference elsewhere on the core menu is not asking for a lower check. I mean, so if you think about a Red Lobster $12.99 promotion and you might get 15% preference on that at dinner and that total check may be $15.50, $16, the other 85% preference is at a check that's north of $20. And so to drop that price when that's not what those folks are looking for, they're looking for us to redefine the experience in ways that drive up quality and may actually be willing to pay a little bit more if we can do that effectively.
Operator: Our next question from Michael Kelter, Goldman Sachs.
Michael Kelter - Goldman Sachs Group Inc., Research Division: Yes, I wanted to ask -- you guys talked about traffic being in line with the industry for the quarter, but I guess my question is at what cost? Because your restaurant margins were the lowest in a fiscal third quarter for as far back as my model goes, and I guess I'm wondering is that the new normal? Will it require margin investment just to maintain share at this point?
C. Bradford Richmond: No. The investment in check we made during the third quarter, specifically during the third quarter, was a little more than we anticipated and we've learned some things during the quarter that we're going to apply to our promotions and core menu tactics in the near term going forward. But we are seeing meaningful improvement in traffic. So for instance, at Olive Garden during the second quarter, traffic was 5.5 points behind the industry. In the third quarter, traffic was even. A little more investment in check than we anticipated, like I said, during the quarter and we've identified some ways that we can help address that.
Clarence Otis: I would say that the third quarter was a relatively weak quarter overall for the industry, and so being even in that quarter had margin effects because being even meant being relatively negative. And so we don't expect, on a go-forward basis, that kind of industry weakness. And then the other part of it, as Brad talked about, when we look forward next couple of years, given the strategic choices that we're making, we would expect EBIT margin expansion of 10 to 30 basis points a year. That is lower than what we would have told you a couple of years ago, which would have been more like 30 to 50 basis points a year, but still EBIT margin expansion.
C. Bradford Richmond: Also, Michael, when you look particularly at the third quarter there's about 35, 40 basis points of Yard House acquisition-related impacts. So if you're comparing backwards, there's a little noise in the number there as well.
Michael Kelter - Goldman Sachs Group Inc., Research Division: And then on a separate note. I was curious to give -- get a little color. What have the rating agencies asked of you to maintain your credit rating at this point? And what does that mean about your debt leverage levels and the capital allocation going forward?
C. Bradford Richmond: Yes. We've shared our plans with much of the information that we shared at the investor and analyst conference, we shared that with them as well as some of our thinking that we outlined for the next fiscal year. And so if you look at many things, they also look at the trend of things as well. But our amount of debt or the ratio of debt that we have is within -- will be within the year within the range that we target to maintain investment grade credit profile. Our coverage ratios are a little bit outside of that range. And so they looked at that, within the past few weeks they've come out and have changed their outlook to negative. But they haven't changed any of the ratings at this point. So they're going to look at many of the same things that you're looking at from where the business is, how is it trending on sales and operating cash flows. What I would say is they look back at our history of how we've adjusted and reacted to other business environments and situations and that we do have for an organization of our size, a number of levers, a number of activities, many of which we are doing right now to protect that investment grade credit profile. So no one has downgraded the stock at this point, but they do have a negative outlook. In terms of maintaining an investment grade rating, right now we're at the equivalent of BBB with the 3 agencies that are rating us, and so we do have room should we need it for one level of downgrade and still remain investment grade profile and advantages that come with that.
Clarence Otis: But I would say that we're very focused on maintaining an investment grade credit profile, and so we will make capital allocation choices that are consistent with that. If you look back over our history since our spin-off, we've been downgraded before. We've been upgraded from those levels because we've demonstrated that kind of discipline.
Operator: Our next question comes from Susan Scribner with Credit Suisse. It's Keith Signer.
Keith Siegner - Crédit Suisse AG, Research Division: Yes, it's Keith Siegner. To follow up on that question quickly. Just the dividend that was just declared, the $0.50, sounds like it was the last dividend at $0.50. It was very clear at the Analyst Day that you have plans to increase it. When thinking through this maintaining of an investment grade credit profile, et cetera, et cetera, and you think about this upcoming increase in the dividend, what factors are you looking in deciding how much to increase it? What fits in with the broader capital management strategy?
Clarence Otis: Yes. Well, we're looking at our CapEx budget. And to the extent that we bring that down fairly significantly, it accommodates a modest dividend increase in our view.
Keith Siegner - Crédit Suisse AG, Research Division: Okay, one other question for me. Clarence, you talked several minutes ago about the tempering of average check growth and one of the things that was part of that was using promos especially to address the lower end or affordability. At Olive Garden, the 2 for $25 promo is ending soon, I think April 7. Could that possibly be replaced with a promo that's more geared towards the lower check or addressing the entry-level affordability, because I think one of the plans at 2 for $25 was that it actually wasn't resulting in a lower check per person. Could that change with the promos at Olive Garden going forward?
Clarence Otis: 2 for $25 does result in a lower check. But beyond that, we're not going to comment about our promotional plans for competitive reasons.
Operator: Our next question with Joe Buckley with Bank of America Merrill Lynch.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Two questions. Again, on the promotional positioning of the brands. I understand the 15%-85% split. What gives you confidence that you can manage the check up and don't have to do something much more dramatic to improve the value ratings of the brand? What was seen promotionally from you doesn't appear to be really new or different or aggressive on your part given the traffic trends.
Andrew H. Madsen: Well, I would say in terms of addressing affordability and value promotions is one lever that we're pulling. And based on the traffic trend improvement and the percent of guests that are ordering those dishes, it certainly has been noticed by our guests. But in addition, we're doing other things on our core menu. So for instance, the significant core menu change at Red Lobster that really increased the preference on items under $15 is working together with the promotions that we're offering. And we are seeing improvement in value scores, value perception at Red Lobster as a result. So it isn't just what we're doing in our promotions to strengthen value and affordability.
Clarence Otis: And I would say the core menu is the key, and I would lock in on 15%. That would be a blockbuster preference for a promotion. Red Lobster does have higher preference than Olive Garden. But double digit would be fairly significant for either one of them.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then a numbers question. Brad, I've got a lot of questions on since your meeting. It's a bonus reset comments for next year in the $0.30 to $0.34. So I guess a couple of questions. Did it have anything to do with fiscal '12? I think in your comments at the meeting, you made reference fiscal 2012, it's not clear to me it would have anything to do with that? So I'm trying to clarify if you meant to say that or there is some connection there? And then how definitive is that $0.30 to $0.34? How performance based is that number or how automatic does that number become in fiscal 2014?
Clarence Otis: Yes, let me start, and I'll hand it off to Brad. But we have a bonus pool, absolute dollar amount, that doesn't vary much from year-to-year and that assumes that we achieve the plan for the year. To the extent that we fall short of that plan, we're going to pay out a lot less and that payout can be dramatically less. There is a floor for about 60% of that bonus pool it goes to restaurant managers essentially, and they don't go to 0 regardless of performance. But for the other 40%, it can go to 0. And so when we talk about a planned bonus number for next year, it depends on performance. If it's a performance like this year, then it certainly won't be $0.32 to $0.35. It'll be dramatically less than that. We hope it's 32% (sic) ($0.32) to 35% (sic) ($0.35). That would be our preference.
C. Bradford Richmond: Yes, I think Clarence said it pretty well. I guess the only thing I would add is making that plan, paying out those targeted bonus, that's what we would accrue to. You see this year, we are much under that. So we've been adjusting that accrual down throughout the year as our performance has dictated. I think the other piece of information just to reflect back a year, what would be fiscal 2012, we anticipated a higher bonus payout. We started accruing to that. But as the year went on, we accrued less. In that case, it's going back to that pool that Clarence was talking about. It was about $0.15 less. So we're telling you what it would be for achieving our plan. We could exceed that plan, which would add meaningful to the earnings value creation, but a portion of that would go out into bonus payouts as well. So we've got a couple of years where the accrual has been too high, and we've adjusted it down. And so what we're really pointing out as we look to '14 is how much that accrual going back to a targeted amount would expect to be. So -- and to your point, it could still change some this year depending on our actual performance. So we'll update you on what that amount looks like in June.
Operator: Our next question from John Glass with Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: Actually, if I can just first follow-up on that bonus question. Whether or not it goes up or down depending on performance is understood, but the absolute magnitude is what I think that still strikes in investors as being high in dollars and I understand a lot of it is at the store level. Do you feel like you're -- are you overcompensating your store-level employees relative to peers in line or under and so willing to, I guess, normalize their compensation versus peers or do you feel like that's not an issue?
Clarence Otis: No, I would say, I mean, we do market studies all the time and we're certainly in line with peers. And these are peers who run restaurants that have similar complexity. That means similar volumes, similar staffing. And so we've got volumes and staffing above the industry average and so that peer group is not an industry average peer group. It's the high-volume portion of the industry.
John S. Glass - Morgan Stanley, Research Division: Okay. And if I could follow up on this debt question. I don't want to beat it death, but as I understand it and I'm sorry I don't have the numbers in front of me, but your check decline at Olive Garden this quarter, given promotional activity, the traffic improved. But your goal was not to have -- will be to have traffic -- check growth essentially flat, right, maybe mix to negative mix offsetting pricing, is that right? And have you ever had that -- if you had that experience yet, or is it still hypothetical and you haven't really figured out the real balance yet between the right promotions in driving traffic and keeping checks sort of flat?
Andrew H. Madsen: Yes. Our expectation is not for the check at Olive Garden or any of our brands to be down versus prior year over an extended period. And so the changes that we're making tactically in our promotions being more aggressively focused on affordability, as well as the changes we're making on affordability in our core menus are all things that are moving us in the right direction from a traffic standpoint, but there are also things we're learning from -- as we go. So we wouldn't anticipate in the future the same check dynamics that we saw during the third quarter.
Operator: Our next question comes from Jeff Bernstein, Barclays.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Just 2 questions. First, on the labor side of things. It seems like that's perhaps a greater concern than commodities, which has gotten more of the attention over the past couple of years since when you consider the minimum wage and health care and whatnot. And I know you mentioned earlier on the call that investing in your people and at the Analyst Day you talked about perhaps adding a layer of management for additional oversight of each of the core brands. Just wondering if you can talk to us about the cost-saving opportunity see on the labor line to mitigate that? I know you've been good in terms of laying out kind of your annual cost-saving targets and whatnot. But specific to that labor line, do you have things that you think could help mitigate and offset and kind of where are they in terms of their rollout?
C. Bradford Richmond: Jeff, this is Brad. I'll start off with this. We did talk about at the conference about additional opportunities in labor optimization in terms of our transformational opportunities and so there will be some opportunity to work on that. I think if you look back on a quarterly basis, we have done quite well on managing and leveraging our restaurant labor. I think more what you're seeing this year is -- excuse me, in this quarter is the sales deleveraging impact and Drew has talked some about of that. But we also had a increase, which was more temporary in nature in our group insurance claims partially as we're rolling off the self-insurance that we've had in the prior years. With this year, we've moved to the corporate exchange. So there's a little bit of noise in the third quarter number.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Got it. And then just from a follow-up perspective in terms of the comps. We've talked about the spike in gas and the delayed tax refunds, which would seem temporary in nature relative to the structural impact from higher employment tax. When you think about those 3 things in terms of the extreme volatility we've seen recently, how much do you attribute, I guess, to the structural one, which is the higher employment tax. Or maybe said another way, I mean, if you look back how much of a benefit did you get and over how long did you benefit when the rate was lowered 2 years ago to kind of see what kind of the reversion might be?
Clarence Otis: Yes. I don't think we have any way of really knowing that because there's so many other variables in that environment what it was lowered and in this environment where it's been raised. On the delayed refund side, we have no visibility to that dynamic. We listen very closely to people who do. So Wal-Mart has talked extensively about it. They have pretty good visibility because they cash a lot of refund checks and they contract what they've cashed this year against what they cashed last year and the various patterns. And it seems to have amounted to a decent amount of money inside their system. And of course, they're only a fraction of the entire system. And so we think that, that probably had an effect on February, but all we can go by is what we read from others who have more visibility on it.
Operator: Our next question from Matthew DiFrisco from Lazard.
Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division: I just wondered, Clarence, if you can just sort of follow up on that. As far as a regional basis, there's been a lot of differences as far as reports we see with employment data, housing market data and certainly weather impacts. Can you give us from either a broad perspective of your portfolio or an industry perspective what you're seeing in the same-store sales trends if there's a certain regional differences or any sort of correlations with those economic catalysts or weather roadblocks?
Clarence Otis: Well, we certainly have the weather differences and we see those pretty clearly. So we had significant weather in December and February and it was pretty localized Midwest and Northeast mostly. But in terms of the non-weather macroeconomic portions, Brad?
C. Bradford Richmond: Yes, I've got a little bit of information there. I think if you look at a sequential basis where we're seeing the weakness really is in that South Atlantic, Mid-Atlantic area. That's kind of lagging the other areas. When you look at on a year-over-year basis, it's those same areas that are lagging a little bit. And I think as Clarence said he had stripped out the weather, maybe a little bit of weakness in that upper Midwest, but it's not too significant. So I'd say none of them are really striking differences when you look at across all of our brands other than maybe a tad, like I said, in that South Atlantic, Mid-Atlantic region.
Matthew J. DiFrisco - Lazard Capital Markets LLC, Research Division: And then, I guess, just as a follow-up, you mentioned in the month of March and you referred to Malcolm Knapp's comments yesterday about sort of the improvement that he was citing from February to step up improvement. I guess, both you -- the industry and your brands have significantly easier year ago comparisons ahead. I guess, is that a comment on business strength and momentum as we look at it as far as sometimes if you talk about the 2-year comp trend showing a uptick, or are you just basically seeing what we'd expect to see the benefit of softer year ago comparisons also would bring about a 1-year improvement?
C. Bradford Richmond: Yes, I think we tried to make some adjustments on a year-over-year basis. So for example, February last year had a huge weather positive and so we don't have the weather number in March, and so we're looking at all of those different variables. So if you look at February a year ago, it was up 30%. And so on a 2-year basis, I guess you're talking about roughly 2.5% down in February last year whereas March last year was up, I think, KNAPP-TRACK was about 1 point. And so March was a tougher month than February and we're seeing improvement in March. So it's not the 2-year stuff that's going on. I think February just had, beyond weather, a couple of jolts that consumers took some time to adjust to.
Operator: Our next question, Jason West with Deutsche Bank.
Jason West - Deutsche Bank AG, Research Division: Drew, earlier you mentioned that some of the investments in check were a little more significant than you expected and you'd made some learnings around that. Are you referring to something that happened earlier on in the quarter kind of before you updated guidance or some things that happened kind of later on in February, if you could just talk a bit more kind of what those issues were and what kind of changes you're making.
Andrew H. Madsen: It was really what occurred throughout the quarter, and probably the biggest thing that we've learned is the percent of guests that were ordering these dishes, which had a bigger impact than we thought. And it also had an impact on appetizer add-ons. Those are probably the 2 biggest things that we learned and those are the areas that we're going to be looking at refining as we go forward.
Jason West - Deutsche Bank AG, Research Division: So you mean the promotional items and the appetizers were higher preference than kind of you expected and that put some downward pressure on check?
Andrew H. Madsen: The promotional items, yes, not the appetizers.
Jason West - Deutsche Bank AG, Research Division: Okay, okay. And then I've seen recently a little more what seems like more couponing around some of the deal such as Lobsterfest coming through places like Twitter. I don't know if that's something new or if that's sort of what you were doing last year, but if you could talk about sort of that couponing effort or sort of BOGO effort, if that's significant driver, if it's something that impacts check, that's helped traffic or maybe it's just sort of more what you've always been doing.
Andrew H. Madsen: Lobsterfest is a promotion we believe in. We think it's a very distinctive brand, defining an offer that you can't get anywhere else. And there are a lot of guests that are very excited about Lobsterfest and willing to pay a premium price for very distinctive, crave-able dishes. There are other guests who are a little more aspirational and would love to come if it were a bit more affordable and those are the guests this year that we made some tactical adjustments to try and give them more -- a little bit more of a affordability incentive to come in for a great experience during Lobsterfest.
Operator: Our next question from Jeff Farmer with Wells Fargo.
Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division: Just taking a step back a little bit. At the Analyst Day, there was a lot of discussion about what you get and what you pay, I guess meaning that it takes both to win market share in the current environment. So I guess I'm pretty clear on what you mean on the pay side of the equation. But what are some of the near-term changes you can make with the what you get both at Olive Garden and Red Lobster? What can you do in the near term to help sort of drive top line using that side of the equation?
Andrew H. Madsen: Yes, that is exactly what we were talking about at the Analyst Day, in particular about Olive Garden. So beyond affordability, we know that there's different guests that have different needs. And one of the biggest needs at Olive Garden beyond affordability is the opportunity to have experience that's a little lighter and a little fresher. And that's why we introduced the lighter Italian fare section recently and we've seen a very good response to that core menu section. It's also why we introduced some new lunch items at Olive Garden, more daypart appropriate menus, Italian sandwiches and some new calzones, and we've seen a very positive response there as well. The biggest opportunity we have beyond affordability at Red Lobster is the veto vote where not everyone in the party wants a seafood item and that's why they were very focused on that in their core menu introduction back late September, early October. And we've seen, not only an increase in the number of people buying their new mainstay dishes that are under $15, we've also seen an even bigger percentage increase in guests who were buying the new non-seafood items at Red Lobster. So those are some of the things that we're focused on.
Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division: Okay, and then just one quick follow-up. I've been listening to a lot of your responses to some of these questions. And just looking out to FY '14 as it relates to sort of the promotional strategy. Is it fair to think or assume that we're going to see several quarters of continued negative mix numbers as we get into FY '14 at both Olive Garden and Red Lobster, is that a fair assumption?
Andrew H. Madsen: We'll talk about FY '14, I guess, in June.
Operator: Our next question comes from Will Slabaugh with Stephens.
Will Slabaugh - Stephens Inc., Research Division: Had a question regarding operating cash flow for fiscal '14, just given your commentary at the Analyst Day and how we should think about that number. Just with the backdrop of your guidance you've already talked about for roughly flat earnings growth for next year and what looks like on the operating cash flow line roughly $90 million or so benefit on the balance sheet that's going to help you get to that, call it, $955 million in operating cash flow for this year, just wondering what that trajectory might look like as we carry on into fiscal '14.
C. Bradford Richmond: Yes, I think from where we're stepping off in fiscal '13 you're going to see it modestly grow from there one from the operating side with what we've talked about on our expected performance. Also, as well, some of the other items that go into that around working capital, the progress there. So at this early juncture, I think you're going to see it move modestly up from there into fiscal '14.
Will Slabaugh - Stephens Inc., Research Division: Okay, and just a quick follow-up there. Wanted to get your thoughts on what has been impacting same-store sales when talking about a number of things. But now that we're through the quarter and into March, I know it's difficult to do but wondering kind of how you think weather compares might have impacted that potentially more so than we initially thought where people have talked about payroll tax increases, delayed refund checks, et cetera. And now that we're into March and we're seeing this fairly dramatic improvement, where we may be discounting the weather impact a little bit more so than we should have.
Clarence Otis: Well, I mean, February was a month that had decent weather effect year-over-year. So 130, 150 basis points, I think, we've said. But much of that is really because February a year ago was so mild. I mean, this February is fairly typical winter. March, I don't know. I mean, I don't get the sense that it's a particularly severe month. And March a year ago was not a particularly severe month either.
C. Bradford Richmond: Yes, Will. This is Brad. We've took a similar convention of looking at the weather impacts and really weather impact for us is precipitation is the big one for us, so snow or ice is what really has the impact, not so much the temperature side. And I think last year, we talked about a pretty big lift in last year's number. I believe, for the quarter it's about 200 basis points, so we're wrapping over a pretty big lift. That same analytical convention that got that number -- gave us the numbers this year that Clarence has talked about with about 110 basis points of impact in December, really nothing in January and 150 in February. So I don't think there's a much in the weather per se other than what we've detailed that's impacting the business.
Will Slabaugh - Stephens Inc., Research Division: And by saying, it was March a big change in weather?
C. Bradford Richmond: Not so far. I mean, we did have -- we always seem to have one late storm that comes during March. It varies from week-to-week, but nothing that seems unusual at this point.
Operator: Our next question from Nicole Miller with Piper Jaffray.
Nicole Miller Regan - Piper Jaffray Companies, Research Division: There's got to be a silver lining somewhere here. I was wondering could you please talk about the higher-end brands? Talk to us about either SRG in total or pieces and I'm mostly curious about how did they weather the impact of -- basically, did it look different than your core brands in terms of the things that slowed you down or tripped you up so far year-to-date?
Clarence Otis: Yes, yes, before I turn it over to Gene, I mean, one of the highest priority we've got right now at our larger brands is regaining traffic momentum. And so same-restaurant traffic negative this quarter, a lot more negative than what we like. But after trailing the industry for each of the prior 3 quarters, matching it on same-restaurant traffic was, we think, important. And we would expect to establish a positive gap to the industry on traffic as we go forward. That's our objective. So we think we saw some progress there. I'll turn it over to Gene.
Eugene I. Lee: Thanks, Clarence. Nicole, let me just -- I'll comment on Capital Grille because it's the largest brand inside the group and had the strongest quarter. And as we said at the Analyst Day, the environment is very positive for the group. We've seeing strong business travel. We're seeing luxury growth in other aspects, in retail, in hotel. We had a very strong holiday season with private dining. We also believe in Capital Grille. One of the reasons for the strength throughout the quarter is that we're adapting to the new world of online reservations. We believe we're getting much better at dealing with OpenTable and allowing access to our restaurant. I think we're a little slow to react to that trend, but we are getting much better there. We're working on that also at Eddie V's. We think that's the key going forward as people continue to change the way they book in fine dining. So we had a very, very strong quarter. We're seeing a lot of growth in our restaurants that have been opened 3 to 4, 5 years ago where we have some capacity opportunities and performed pretty well. Seasons had a decent quarter. We got back to the positive side of the ledger and they had also had a great quarter with private dining. So overall, I think our business continues to remain strong. The environment is strong for us. We've done a lot of great work from a culinary standpoint. We're in a good place with our service platforms and we think we're positioned to continue to grow into the future.
Operator: We have a question from Sara Senatore with Sanford Bernstein.
Sara H. Senatore - Sanford C. Bernstein & Co., LLC., Research Division: I just wanted to step back and ask kind of a broader question on you've talked about some of the strategic maybe missteps, but now going forward, corrections that you're making around check and menu offering. Can you just talk a little bit about the idea that some of the varied menu competitors out there have really broadened their menu to include a lot of offerings that might be similar to what you have. And so, I guess, the question is, generally, is there any limitation because you have sort of these more single and focused concept brands? And maybe another way to ask that question is just can you tell where your customers have been going in lieu of the Darden brands?
Clarence Otis: Yes, I would say that I think we talked about a lot of it at the Analyst Meeting. So the attrition that we've seen is really on the lower end of the household income continuum. So a lot of those folks have really traded out of dining out because they're that financially constrained. So their visit frequency overall is down. Some have traded to lower check within casual dining, lower check brands, and some have traded from casual dining to lower-check segments. And so that's really -- because we're talking about attrition at the margin and that is what we're seeing. We're not seeing a whole lot of change in the rest of the income continuum. We're certainly not seeing attrition there. So...
Andrew H. Madsen: The only thing I would add to that is we believe that we can make our brands more relevant and remain broadly appealing, recapture guests without becoming a varied menu brand and without losing brand distinctiveness. So that's why I mentioned at Olive Garden we're focused so much on beyond affordability on lighter, fresher fare. That's why at LongHorn, we're focused, in particular, on steak distinctiveness and really establishing that brand as the best casual dining steakhouse in the segment introducing things like the 30-ounce porterhouse or the new Rancher’s Sirloin. So we don't believe we need to become a varied menu. We need to remain distinctive and just understand the need states that we need to become more relevant in.
Clarence Otis: And I would say that as we look at it and we think about national casual dining brands, those that are distinct and differentiated enjoy the highest unit volumes and so that speaks to the importance of not being sort of varied menu. The varied menu brands have unit volumes that essentially range from $2.2 million to $3 million, and LongHorn is at the bottom of our list at $3 million but they don't advertise anywhere near where the rest of the national brands are because they're not national yet. And Olive Garden, Red Lobster are dramatically higher than that. So is Outback, so is Texas Roadhouse. And so the people who are differentiated and are viewed as varied menu didn't have the strongest competitive positions.
Sara H. Senatore - Sanford C. Bernstein & Co., LLC., Research Division: Okay, I think that makes sense. I just -- I'm trying to figure out if your lagging the industry, then presumably either you're losing more customers than other people are or you're losing customers to other restaurants. It sounds like to the extent that, that's happening it's more just potentially lower income consumers trading down to...
Clarence Otis: Yes, I mean, that's really at the bottom end. The players that have the higher unit volumes tend to have the higher checks. And that's -- yes, and we're pretty well developed there. And yes, so we think it really is -- that's really the affordability question we're talking about. And the reason why we have to be pretty targeted with it because we've got a lot of other guests, affordability is important but it's not their highest priority. Their highest priority is high quality.
Operator: Our last question from John Ivankoe with JPMorgan.
Amod Gautam - JP Morgan Chase & Co, Research Division: It's Amod Gautam filling in. First, I'd like to give around color around same-store sales expectations as 1% to 2% annually in the near term. I think, specifically there was a traffic expectation of 0% to 1%. And I know maybe a few years ago, you were outperforming the industry by up to 300 basis points. And obviously, that's converged more recently. So within that flat to 1% expectation, where do you think the industry kind of flushes out? And is there a sort of an implicit assumption that Darden will outperform?
Clarence Otis: I mean, the industry's been negative same-restaurant sales. I forget how negative. So any positive would be outperformance. That is the expectation. And we talked about that means not only so winning the day-to-day market share contest within casual dining, but making sure that we win the sort of larger battle within the entire dining out spectrum.
Amod Gautam - JP Morgan Chase & Co, Research Division: Okay. And then just trying to get a sense for kind of the puts and takes within the new unit CapEx for the next few years. How many units of the LongHorns and Olive Gardens that you're expected to open annually in the near term or kind of committed in fiscal 2014 and then 2015 maybe?
Andrew H. Madsen: Yes, I would say at this point in the juncture, we've shared what 2014 looks like at the conference. I'd say, 2015, with what we know today and what our expectations are, will be much similar to 2014. We have lots of opportunity with a strong performance in SRG. If anything, within the deployment for new restaurants, you might see a little bit more going to SRG just given their strong performance.
Matthew Stroud: We'd like to thank everybody that joined us on the call today. We recognize that there are a few more folks in queue. We apologize we couldn't get to you this morning. We will be happy to take your calls, of course, here in Orlando. We thank everybody for their participation, and we look forward to speaking with you in June.
Operator: Today's conference has concluded. Participants may disconnect at this time. Thank you for attending today's conference.